Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Hormel Foods Third Quarter Earnings Conference Call. [Operator Instructions] This conference is being recorded today, Thursday, August 25, 2011. I would now like to turn the conference over to our host, Mr. Kevin Jones. Please go ahead, sir.
Kevin Jones: Thank you. Good morning. Welcome to the Hormel Foods conference call for the third quarter of fiscal 2011. We released our results this morning before the market opened, around 6:30 a.m. Eastern Time. If you did not receive a copy of the release, you can find it on our website at www.hormelfoods.com under the Investors section. On our call today is Jeff Ettinger, Chairman of the Board, President and Chief Executive Officer; and Jody Feragen, Executive Vice President and Chief Financial Officer. Jeff will provide a review of the operating results for the quarter, then Jody will provide detailed financial results. The line will be open for questions following Jody's remarks. As a courtesy to the other analysts with questions, please limit your questions to 1 question and 1 follow-up. If you have further questions, you can get back into the queue. An audio replay of this call will be available beginning at 10:30 a.m. Central Time today, August 25, 2011. The dial in number is (800) 406-7325, and the access code is 4457047. It will also be posted to our website and archived for 1 year. Before we get started with the results of the quarter, I need to reference the Safe Harbor statement. Some of the comments made today will be forward-looking and are made under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those expressed in or implied by the statements we will be making. Among the factors that may affect the operating results of the company are fluctuations in the costs and availability of raw materials and market conditions for finished products. Please refer to the cautionary statement and risk factors on Pages 33 through 39 in the company's 10-Q for the quarter ended May 1, 2011, which was filed with the SEC on June 10, 2011, for more details. It can be accessed on our website. Now, I'll turn the call over to Jeff.
Jeffrey Ettinger: Good morning, everyone. We are pleased to report another solid quarter in terms of both earnings and sales. Earnings for the third quarter were $0.36 per share, up 13% from the $0.32 per share we achieved a year ago. Total dollar sales of $1.9 billion were up 10% over a year-ago, and we were again able to register sales gains in all 5 segments. This quarter once again demonstrated the benefit of our balanced business model as the strong performance by our Grocery Products, Jennie-O Turkey Store and All Other segments offset the softer results from our Refrigerated Foods and Specialty Foods segments. I will now take you through each segment. Our Grocery Products segment reported an operating profit increase of 19% on a dollar sales increase of 4%. We generated solid sales growth from our SPAM family of products and Hormel Mary Kitchen Hash, and we were also pleased to see some nice growth by our Hormel Compleats microwave meals during the quarter. Sales of our Mexican food products continued to grow as our MegaMex food business contributed positively to our overall results. The recently closed acquisition of Fresherized Food by our MegaMex Food joint venture adds an important component to our Mexican food portfolio. Guacamole is a rapidly expanding category as consumers increasingly use these products in sandwiches in addition to their use in a dip. The Fresherized Foods guacamole products are sold under the Wholly Guacamole brand, and they are sold in both the retail and food service trade channels. The products are processed using high-pressure pasteurization, the same technology we use for some of our refrigerated meat products such as Hormel party trays and Hormel Natural Choice deli meats. Annual sales of Fresherized Foods are about $140 million. As with our Don Miguel products, these sales will not be reflected in our Grocery Products segment results. We look forward to the additional growth opportunities provided by this newest addition to MegaMex Foods. Segment operating profit for our Refrigerated Foods segment declined by 12%, hindered by lower pork operating margins versus last year's historically high margins. Sales increased 10%. On the retail side, we enjoyed strong sales of Hormel pepperoni, bacon and party trays, Hormel Natural Choice deli products and Hormel Country Crock side dishes. The food service trade remains choppy. However, sales of branded products such as Natural Choice deli meats, AUSTIN BLUES BBQ products and Café H ethnic products grew during the quarter. Our Jennie-O Turkey Store segment had another good quarter, with segment operating profit up 14% and sales up 11%. Continued strong sales of value-added products, increased efficiencies and higher commodity meat prices more than offset higher grain prices during the quarter. Sales increased for Jennie-O in all 3 value-added areas: retail, food service and deli, led by Jennie-O Turkey Store fresh tray pack, turkey burgers, turkey franks and turkey bacon. Segment operating profit at our Specialty Foods segment declined 8% on a net sales increase of 11%. Segment profit results were hurt primarily by elevated raw material costs, which were higher than anticipated during the quarter. Sales of private label canned meats, sugar, nutritional products and blended products all grew during the quarter. Our International All Other segment had another strong quarter, with segment operating profit up 67% on a sales increase of 35%. Results were aided by strong export of fresh pork and improved results by our joint ventures in the Philippines, Vietnam and Okinawa. Looking forward, we anticipate seasonally lower hog costs as we get into late summer and fall. We expect pork operating margins to remain higher than historical levels, but lower than a year ago during the fourth quarter. The turkey industry remains in good balance, and we expect that status to continue. However, Jennie-O Turkey Store's margins will be impacted as we cycle in higher grain costs. Our brands are a big part of our success in growing our value-added portfolio, and we will continue to invest in those brands. For example, we were supporting the new design and varieties of our Compleats product line, with focused marketing and advertising. And we will continue to support our other Hormel branded products as part of the Life Better Served Hormel brand advertising campaign. We have also resumed our Make The Switch marketing campaign for Jennie-O Turkey Store turkey burgers this summer and fall, featuring new TV ads. Given our results in the third quarter, we are again raising our full-year guidance range to $1.70 to $1.75 per share from $1.67 to $1.73 per share. At this time, I will turn the call over to Jody Feragen to discuss the financial information relating to the third quarter.
Jody Feragen: Thank you, Jeff. Good morning. For the third quarter of 2011, net earnings totaled $98.5 million or $0.36 per share compared to $85.4 million or $0.32 per share a year ago. Our current quarter earnings benefited from a lower effective tax rate, lower corporate expenses and lower interest charges. Net earnings for the 9 months of fiscal 2011 totaled $356.9 million or $1.31 per share compared to adjusted net earnings of $287.8 million or $1.06 per share a year ago. GAAP net earnings for the 9 months of fiscal 2010 were $274.4 million or $1.01 per share. A table reconciling our adjusted earnings calculations to earnings calculated under Generally Accepted Accounting Principles was included in our earnings release. Dollar sales for the third quarter totaled $1.9 billion compared to $1.7 billion last year, a 10% increase. For the 9 months, dollar sales increased 12% to $5.8 billion. Volume for the third quarter was 1.1 billion pounds, flat to fiscal 2010. Year-to-date volume was 3.6 billion, up 4% from fiscal 2010. Selling, general and administrative expenses in the third quarter were 8.2% of sales compared to 8.5% last year. Year-to-date, selling, general and administrative expenses were 8% compared to 8.5% of sales last year. We expect selling, general and administrative expenses to be approximately 8% of sales for the full year. Interest expense for the quarter was $5.6 million compared to $6.5 million last year, as lower debt levels and lower interest rates reduced this expense. Year-to-date, interest expense was $19.4 million compared to $19.6 million last year. We expect interest expense to be approximately $22 million to $23 million for our full fiscal 2011. Our effective tax rate in the third quarter was 29.3% versus 35.8% in fiscal 2010. Our effective tax rate for the third quarter of 2011 was favorably impacted by the resolution of tax matters with various federal and state tax jurisdictions. These matters also impacted the year-to-date rates with the effective tax rate of 33% for our fiscal 2011 compared to 36.5% last year. As you recall, our 2010 year-to-date effective tax rate was higher due to the change in tax treatment of Medicare Part D subsidy. For fiscal 2011, we expect the effective tax rate to be between 33% and 34%. Basic weighted average number of shares outstanding for the third quarter was 276 million -- 267 million. The diluted weighted average number of shares outstanding for the third quarter was 273 million shares. We repurchased 1.6 million shares of common stock during the third quarter, and we have 6 million shares remaining to be purchased from the 10 million share authorization in place. Depreciation and amortization for the quarter was $30.6 million, flat to last year. For the 9 months of the year, depreciation and amortization was $92.9 million compared to $92.1 million last year. We expect depreciation and amortization to be approximately $125 million for the full year. Total debt at the end of the quarter was $250 million compared to $350 million last year. The change was due to the issuance and repayment of notes earlier this year. Capital expenditures and property acquisitions for the quarter totaled $20 million compared to $24 million last year. For the 9 months of the year, capital expenditures and property acquisitions totaled $63 million compared to $64 million last year. For fiscal 2011, we expect capital expenditures to be approximately $85 million to $95 million. At this time, I will turn the call over to the operator for the question-and-answer portion of the call. Operator?
Operator: [Operator Instructions] And our first question comes from the line of Farha Aslam.
Farha Aslam - Stephens Inc.: Jeff, you've implemented a significant amount of price increases across your portfolio and might have to implement more given where grain prices are. Could you give us some color in terms of how consumers have reacted, which products have outperformed your expectations in terms of volumes and where you're seeing some pressure?
Jeffrey Ettinger: Overall, the reaction to the price increases has been reasonable from our perspective. As you pointed out, we have taken them throughout all the different business segments and throughout most of the portfolio. As we've talked about before, if we had items that we were not enjoying the kind of volume increases that we're looking to achieve, then in those cases, we've been slower to take pricing. But overall, most of the portfolio has been impacted. The reaction thus far from consumers has been positive from our perspective. Clearly, our volumes this quarter in terms of being flat in some of the segments shows a little bit of a slowdown in reaction to some of those price increases. But we're satisfied if we can hold the line there and continue to generate the net sales increase for both mix and pricing that we can continue to drive the kind of top line growth we're looking to drive. I can't really comment on which ones surprised us, but we did point out a number of franchises that enjoyed solid both volume and net sales growth in various parts of our business, including SPAM and the MegaMex products and Compleats from Grocery Products, pepperoni, bacon and party trays from the meat products group, Natural Choice deli and Austin Blues from food service, and then fresh tray pack burgers and franks from the Jennie-O Turkey Store branded offering.
Farha Aslam - Stephens Inc.: Okay. And then just my 1 follow-up would be on the Jennie-O Turkey Store. That business has seen some very volatile margins. Over time, you had historically said that you expect that business to deliver kind of 8% to 10% normalized margins, and then I think you've said that's about the 10% to 12%. Kind of if you had to describe a normalized level of margins for that business, where would you put that? Or even maybe discuss it in penny [ph] profits. How should we think about that business?
Jeffrey Ettinger: Well, I mean, I think we're certainly driving to try to have that business be more in that, say, 10% to 12% range, and clearly as we finish out this year, we'll probably be at the upper end of that range. And then over time, we've also tried to do things to narrow that band and to reduce the total volatility, one of which is the production cuts that we put in place. Heading into next year, clearly, Jennie-O Turkey Store will be looking at some comp challenges, both in terms of some of what they delivered in the first half of the year, and also the fact that the grain hedges are rolling off in some cases. But that team is very aggressively pursuing efficiency gains and also the pricing they need to take to try to offset as much of those grain increases as possible.
Operator: And our next question comes from the line of Christina McGlone.
Christina McGlone - Deutsche Bank AG: Jeff, you talked about food service being spotty and I'm just curious given that things in the broader economy have gotten a little bit more turbulent, and there's some kind of nervousness among consumers. Did you see trends change throughout the quarter? Are you seeing anything weakening at the margin? Or is it kind of just status quo?
Jeffrey Ettinger: It's really just been choppy was the word we used, and it's been extremely so even month-to-month within this year. I mean, the early part of the year, we started to see some more favorable signs from a variety of areas in the food service business, and then it seemed like when gas prices started to escalate, that took a lot of the air out of the balloon there. As we sit right now, it's inconsistent. There's parts of our business where we're doing better on the noncommercial side, for example. But overall, it's still very -- it's hard to read right now. I'm confident that our team and our direct sales force is really on top of the industry. We'll continue to outperform the industry numbers, but it remains to be seen what those industry numbers are going to look like in the upcoming quarter.
Operator: And our next question comes from the line of Akshay Jagdale.
Adam Josephson - KeyBanc Capital Markets Inc.: This is Adam Josephson in for Akshay. Jeff, why do you think commodity turkey supply has remained in check as it has? And what gives you confidence that, that will remain the case in the foreseeable future, such that you'll have an easier time offsetting higher corn cost in that business next year?
Jeffrey Ettinger: The industry as a whole has shown a little better discipline perhaps than the other poultry side of the ledger. I think something that's keeping everyone in check though are the escalating grain costs. And so when people look at what's the breakeven in terms of basic processing in these industries, that has to be a cautionary area for them.
Adam Josephson - KeyBanc Capital Markets Inc.: Terrific. And just one last one on your outlook for next year. Obviously, higher corn prices will be a challenge for Jennie-O, and the volume impact that retail the price elasticity will be an issue. What concerns you more or what gives you -- what do you have less certainty about going into next year? Is it the price elasticity issue or is it the corn issue?
Jeffrey Ettinger: I guess it's probably the first. I mean, we kind of recognized heading into the next year we're clearly going to be on a higher total cost environment in our system by a significant amount than what we had for the full year this year. But we have some sense of where that seems to be settling in. It is a matter of pushing your efficiencies and pushing your pricing to try to offset as much of that as possible. But that's a big number.
Operator: And our next question comes from the line of Jonathan Feeney.
Mark Williams - Clarion Capital: This is Mark Williams for Jon Feeney. If you could just walk me through the release of the inventory reserve, please, and how much discretion do you have there? And what does that mean for your hedged positions and other reserve leases going forward?
Jody Feragen: This is Jody. It's not related to our hedged position. And that's really -- accounting rules require you to have your balance sheet stated at the lower cost per market, and at times when we see escalating packer margins or pork operating margins, we have to increase that reserve so that our balance sheet adequately reflects the appropriate inventory. So last year, we were increasing that reserve as we were headed into times of extremely high pork operating margins. And now this year, as the third quarter had much lower than normal pork operating margins, we had to reduce that reserve. So there's not a lot of discretion, and it's a calculation we do. Normally, it's not a large amount, and it's less than 1% of our total inventories. But when it gets to the general corporate line, it doesn't have an impact. So that's traditionally not something that we have a year-over-year changed that large.
Operator: And our next question comes from the line of Jeff Farmer.
Jeffrey Farmer - Jefferies & Company, Inc.: Total ad spend, it looks like it was up about 20% in FY '10, and it looks like it's, again, through FY '11, it's about high single-digits. What's the plan to keep that momentum going in FY '12, especially with the Jennie-O and Hormel brands?
Jeffrey Ettinger: Which line were you referring to again, Jeff?
Jeffrey Farmer - Jefferies & Company, Inc.: I'm sorry, advertising spend.
Jeffrey Ettinger: Oh, okay, I didn't -- I thought I heard assets. Okay. In terms of advertising, we don't do it on a divisional basis. We are expecting on a year-over-year basis that advertising will come in at higher levels than 2010 and than 2009, and that's a purposeful increase as we transform the company more and more into the branded value-added portfolio that it enjoys. We recognize that we want to become a bigger player in the advertising world. This fall alone, we continue to have very significant campaigns on-air against both the Hormel brand and also the Jennie-O Turkey Store brand. We've not announced really any details of the 2012 plan yet, so I really can't give you color in relation to how that's going to look for next year. We will provide that next quarter.
Jeffrey Farmer - Jefferies & Company, Inc.: Okay. And then follow-up to an earlier question. You alluded to this, but Jennie-O volumes, it looks like they were down about 3%, following 3 quarters. That looks like average about double-digit growth. So in terms of what was going on there, is that all pricing? Or what potentially else was sort of driving the increased demand for that brand?
Jeffrey Ettinger: Well, Jennie-O, I mean, the thing I do need to clarify there was an integrated supply-chain. Their total volume number can be impacted quite a bit by how many turkeys we're bringing in at a given time of year. So I can provide you with a little extra detail. The value-added portions that retail deli and food service I referenced earlier, those volumes were up 4%, and their sales were up double digits as well. It was the commodity side that declined. So we actually are really quite pleased with what we're seeing from a value-added standpoint at Jennie-O. We certainly think the advertising is helping to drive that, as well as the execution by that team in store.
Jeffrey Farmer - Jefferies & Company, Inc.: All right, that's helpful. So it looks like no pushback on pricing then?
Jeffrey Ettinger: These numbers would indicate that we're in good shape with that thus far.
Operator: And our next question comes from the line of Christine McCracken.
Christine McCracken - Cleveland Research Company: Just on your comments relative to the outlook for the back half at Jennie-O and the competition I think from perhaps smaller pork supplies here domestically. Curious, if you look into the holiday season at full bird sales, you've got a good rebate, I'm assuming by now. Are you fairly optimistic that you'll see a very strong kind of holiday selling season based on the lack of available ham supplies?
Jeffrey Ettinger: Well, we're in a good position in terms of the commitments we've made to our annual inventory of whole birds. It's probably a little early to tell you in terms of what kind of sell-through you'll see. Certainly, that's our goal in partnership with the retailers always is to make sure not only that we're cleaned up, but that they are also. But a lot of that can depend on what kind of pricing the leaders come out of as they get close to the holiday season. And we're a little early to be able to determine that right now.
Christine McCracken - Cleveland Research Company: Okay. And then just this follow-up, relative to your comments on your expectations for hog costs to fall into the back half, just curious, is there anything specific driving that aside from the normal seasonal declines that we see? I'm a little bit surprised, I guess, that it declined too much given where demand is today. Curious on your comments there.
Jody Feragen: We're seeing hog costs that should decline coming into the fall, and that's, you're right, a seasonal trend. And you're also correct that the wild card would be where exports are going, and they've been extremely strong this year. But our anticipation right now is that we'll see seasonally lower hog costs still above last year.
Operator: And our next question comes from the line of Tim Ramey.
Timothy Ramey - D.A. Davidson & Co.: Jody, as we think about the -- I'm wondering if you can give us some guidance on the sequential change in corn prices rolling through the P&L, maybe just on a percentage basis, if possible, for the 4Q versus 3Q. Do we really see the bulk of the step-up in corn costs versus the hedge hit in the 4Q or in the 1Q?
Jody Feragen: You're going to start seeing them in the fourth quarter, and I would expect some escalation into the first quarter of next year.
Timothy Ramey - D.A. Davidson & Co.: Okay. Any help on kind of sequential change?
Jody Feragen: Well, I don't have that with me.
Jeffrey Ettinger: Maybe if Kevin can come up with something that would be acceptable, we'll be providing it to you and others.
Operator: And our next question comes from the line of Lindsay Drucker Mann.
Lindsay Mann - Goldman Sachs Group Inc.: So just on your full-year guidance, I was hoping -- you disclosed the updated EPS number, but I was hoping maybe you could just give us a sense by division in terms of profit growth what you're looking for since we have seen some pretty big swings in terms of greater change in the third quarter versus the first half.
Jeffrey Ettinger: I guess the best I can do is give you a color of just kind of within our balanced models, which pistons we think are firing dollars in the fourth quarter. Our expectation would be for continued moderation or any potential declines in Refrigerated and Jennie-O Turkey Store, but with gains coming from Grocery, Specialty and International. And then if you look at the Q4 comparison, I mean, it will be important to note the absence of that 14th week or 53rd week this year. And also, Jennie-O Turkey Store has that extra $7 million gain last year that we did call out during the fourth quarter that will not be repeated.
Lindsay Mann - Goldman Sachs Group Inc.: Okay. And you're talking about, in terms of negative, you're talking about momentum relative to the third quarter or you think that for Jennie-O or Refrigerated Foods profits would be down?
Jeffrey Ettinger: I'm saying year-over-year.
Lindsay Mann - Goldman Sachs Group Inc.: Okay. And then just on the export market, I was wondering if you could give us -- as of your Analyst Day, you have talked about an expectation that was generally in line with USDA that exports would be down, hog or pork exports would be down year-over-year. And Jody, you mentioned some of the exceptional strength we saw year-to-date. At the margin, are you seeing any shift at a country level, whether it would be Korea, Japan, China, in terms of more -- are they in the market more or less? I mean, are you seeing any of those inflections start to materialize?
Jody Feragen: We are not a huge exporter of whole hogs or carcasses. So we deal more in the specialty type items. And Korea continues to be a strong export for us right now, given their animal disease issues in the country. So we're expecting that strength to continue.
Lindsay Mann - Goldman Sachs Group Inc.: Okay. And then just lastly in terms of cutout margins, curious if you're seeing any adjustment from -- on the processor side to some of the higher hog costs or any behavioral change that make you feel better or worse about how cutouts are going to fare over the next sort of few quarters that cutout margins will fare?
Jody Feragen: Well, they were extremely low year-over-year for the third quarter this year. We're seeing some strengthening in those pork operating margins, as we like to call them, now as we enter into our fourth quarter and should be aided by some seasonally lower hog prices that we traditionally see in the fall.
Operator: And our next question comes from the line of Robert Moskow.
Robert Moskow - Crédit Suisse AG: I saw in our tracking data that the cutout margins were low in third quarter, too. But then Tyson ended up reporting some pretty strong numbers in pork at least flat versus a year ago. I'm just wondering like do you think that you're performing in line with your industry peers on the cutout in the quarter? Or did you feel like you left something on the table in Refrigerated on the cutout?
Jeffrey Ettinger: No, I really don't think we did. I mean, it's always been frankly a little bit of a difficult read for us versus some of the major protein competitors that have big pork divisions. So we're not -- I mean, everybody has their own way of looking at how they account for things. So we just try to compare it to what we expect internally. With this very significant diminution and the cutout values during the quarter, clearly, that puts pressure on the value-added units to make that up. And they made quite a bit of headway in that. But clearly, when you look at the total number, we were not able to generate a quarter. We figured that was as high as last year, but I'm still quite satisfied with how that division was managed.
Robert Moskow - Crédit Suisse AG: Okay. And if I could ask a follow-up on Jennie-O, Jeff, I remember talking to you about whether or not to heavy-up on advertising for Jennie-O in the back half. Can you give me just some more specifics on how much advertising you have done on Jennie-O this year? I think you're adding more money in the fourth quarter. And what kind of data do you have to show that it's driving the value-added sales that you wanted to drive?
Jeffrey Ettinger: Sure, Robert. All told, our expectation will be that our second half campaign for Jennie-O Turkey Store will be every bit as strong as last year's campaign was. That was something perhaps when we talked last and we weren't totally sure at the full level we were going to go after. But we decided to be aggressive with it. In terms of -- we certainly have the sales trends which are still positive. Both the turkey burgers and the ground tray pack have been good contributors to our results. We have very solid ad read numbers off of last year's campaign, and that gives us optimism that it seems to be connecting well. But we're just now getting on air, and so we don't have any new numbers yet to be able to show either awareness, changes or volume being driven by the new campaign. And we did a slightly different version of the one ad we have from last year with a little bit more of a grilling emphasis, and then we literally shot a second ad that again emphasized the sort of Make The Switch notion. And we're optimistic that it will continue to drive matching results for us.
Operator: And our next question comes from the line of Ken Zaslow.
Kenneth Zaslow - BMO Capital Markets U.S.: Can you talk about the Compleats line? And to what extent do you actually think this is the, I guess, recovery of this brand? And then my follow-up is, are there other brands that you think need to be either refocused or put extra ad spending behind where we could actually see an acceleration of growth?
Jeffrey Ettinger: Well on Compleats, the mechanics tend to be a little cautious. I mean, I'm very happy with the quarter, but it's all of 1 quarter now that we pushed it back solidly into the positive column. I am encouraged though that we did that really more with good in-store execution and with the recommencement of the advertising, but really did not have yet the benefit of that new positioning and the new label designs that we showed everybody in Investor Day. Those really aren't hitting store until now. And so I think I am optimistic that, that's going to continue the momentum on this brand, that we have unlocked the new consumer insight in terms of their ability to shop that section. So we certainly have high expectations for Compleats. But I want to see it happen. In terms of other brands, I mean, the ad spend, the major emphasis of our advertising continues to be other Hormel-related items, and particularly, the Pepperoni category which is driving excellent growth quarter after quarter there, and also Natural Choice which continues to grow nicely as well. My expectation is that those types of items will continue to be featured going into next year, along with Compleats on the Hormel items. And then Jennie-O Turkey Store clearly is the next major expenditure in the ad area. 2012 is the 75th anniversary of SPAM, and so we will certainly do some added efforts. They may be more public relations and in-store, but probably some consumer efforts as well to make sure we're announcing that properly against that brand.
Operator: [Operator Instructions] And your next question comes from the line of Ann Gurkin.
Ann Gurkin - Davenport & Company, LLC: Continuing on with Compleats, has that momentum continued in recent months given the more challenged economic environment?
Jeffrey Ettinger: I'm sorry, I didn't hear the first part.
Ann Gurkin - Davenport & Company, LLC: [indiscernible] Compleats continued in the most recent months.
Jeffrey Ettinger: Well, I mean, really -- I mean, we're kind of maybe 3 weeks into period '10. I mean, right now, so far, so good. But it certainly was solid all the way through the third quarter. So, so far, so good.
Ann Gurkin - Davenport & Company, LLC: Okay, great. And then can you help me think about Refrigerated Foods for fiscal '12 and impact of pork operating margins within that segment? Are you able to price through to manage mix to innovate, to keep those margins up as we move through fiscal '12? Can you help me think about that?
Jeffrey Ettinger: I guess, Ann, the best I could probably do is mention the kind of color we provided in general for 2012, and I'll mention Refrigerated within that. We don't finalize our planning process here until well into October, and then submit it to our board in November. And then we provide that precise guidance when we come out on the next conference call. But we did say at Investor Day that we do expect to submit a growth plan to our board. The last 3 years, in '09, we generated 22% EPS growth, in 2010, 15%. This year, we're tracking again into the high teens. I don't think we're going to end up submitting a number at those levels, but we do expect to submit a growth plan. We do expect the comps in H1 to be more difficult than those in H2, and so that will influence how the quarters lay out. And then within the balanced model, as I mentioned earlier, in terms of the question even about the fourth quarter, that kind of model will continue into next year, which is that we're looking for growth from Grocery, Specialty Foods and International. And we're looking for Refrigerated Foods and Jennie-O Turkey Store to hold their ground as best as they can.
Operator: And our next question comes from the line of Eric Larson.
Eric Larson - Ticonderoga Securities LLC: Jeff, one thing I noticed in the quarter was that your volumes -- I think your volume growth was basically flat, and I think it's followed probably 4 or 5 quarters where you were kind of in that mid to high single-digit range. And what I don't have in front of me here is, was this particular quarter a very particularly tough year-over-year comp on tonnage growth and volumes? And if that isn't the case, is that maybe some of the impact we might be seeing from higher pricing in the market?
Jeffrey Ettinger: Eric, I would agree with your assessment. I don't think there was anything particularly unique about the comps. So I do think as the accumulation of the various pricing actions that we've taken during the year have taken hold, I mean, it has a somewhat different effect on any given items within the portfolio, and we did indeed see a flattening out of the volume. I'm not overly concerned about it. We still had a number of items within all the portfolios, the ones I cited earlier that still grew. And even on the decline side, I mean, you're talking division such as our Grocery Products value-added items or our meat products value-added items that each fell over 100 million pounds a quarter, and we didn't have any single items that dropped even 1 million pounds. So I mean, it's choppy, and we need to see the reaction to it. Often, when you talk to consumers and talk to retailers, there's a reaction time when you raise price at least initially that may slow them down a bit. But our expectation and hope is that as consumers get used to the new levels, that they will continue to enjoy our products.
Eric Larson - Ticonderoga Securities LLC: Okay. And then just a follow-up to that, Jeff, x acquisitions, what is the reasonable sort of a range of volume expectation, a volume growth expectation that we should kind of think about you guys generating on average by quarter? Obviously, it could be choppy by quarter. But on an annual basis, what would be a volume number that would be sort of a reasonable thing to look for?
Jeffrey Ettinger: Well, I mean, I think if you look at our long-term guidance of being 5% revenue growth and recognizing, we don't really bank on pricing. Clearly, we've been on more inflationary environment lately. But we definitely bank on mix. And we talk about the value adder and the innovative products and our $2 billion channel and so forth. So probably in that low single-digit, 2% to 3% is probably the volume expectation that would lead us to that kind of 5% revenue growth.
Operator: And we do have a follow-up question from the line of Christine McCracken.
Christine McCracken - Cleveland Research Company: Just curious on the industry recall on the turkey side, have you guys saw any pushback there from retailers or any change to their demands around your business? Realizing it wasn't your product, but generally just overall industry impact.
Jeffrey Ettinger: We did not see an impact to our business from it. It's certainly something that all of us in the industry are always being very watchful about and need to make sure that we address them on an aggressive basis. But in terms of the immediate impact of the business, we didn't really benefit from it, nor did it have any detrimental effect on any of the volumes.
Operator: [Operator Instructions] And management, there is no questions in the queue at this time. Please continue.
Kevin Jones: Yes, thank you, everyone, for listening to our call. Thank you for your questions, analysts. Any follow-up questions can be directed to me, and that will conclude our call for today. Thank you.
Operator: Ladies and gentlemen, this concludes the Hormel Foods Third Quarter Earnings Conference Call. Thank you for your participation and for using AT&T Conferencing. You may now disconnect.